Rich Gelfond : Thanks, Mike, and good afternoon, everyone. We believe our achievements over the past 18 months have set the stage for IMAX several blockbuster year in 2019. The story is quite simple. Beginning in 2017, we made a series of strategic and tactical decisions to improve the performance of our business from top to bottom. We committed to increasing the differentiation of the IMAX experience, more effectively marketing the IMAX brand and tackling our challenges in China. As evidenced by our box office success in 2018 and into the early part of 2019, these initiatives have started working. While there is still work to be done, the team is committed, energized and optimistic as we start the New Year. I’d like to kick-off the call by providing some additional color on these four business initiatives and then move on to our positive outlook for 2019. First, IMAX replaced -- we are extremely happy with the initial reactions from our exhibitor partners and their continued commitment to growing with our laser technology this year. In just the first 18 months of launch, we signed agreements for over 200 systems. We also installed 35 laser systems between June and December across new and existing IMAX locations. Driving this activity are some of the largest exhibitors of the world, including AMC, Cineworld and Pathé. Many of these signings represent more than just the technology update. They represent an entirely upgraded IMAX consumer experience. For example, in the majority of these signings, our exhibitor partners are creating an entirely new in-theater IMAX experience, including new seating, entry ways and branding. Next, marketing. As we continue to increase the differentiation of our experience and feature more films with IMAX DNA, it has become increasingly important that we effectively educate consumers on the benefits of seeing their favorite blockbusters, in IMAX. With that in mind, reinvigorating the IMAX brand was a key objective last year, and we're encouraged with the progress that we've made in '18. And as you may recall, we launched a new brand campaign around how much more consumers can see when they experience a blockbuster in IMAX. Reflecting this experience is the IMAX blue frame, which helps illustrate the 26% more image you can see on key IMAX films. Seeing studios such as Disney and Warner Bros embrace our new campaign and allow us to leverage their iconic IP across their marketing campaigns is encouraging and help to underscore our unique position in the entertainment ecosystem. And with the blockbuster slate of IMAX DNA titles ahead, we expect some of the most anticipated films of the year to leverage the blue frame.  Now, let me turn to our third key initiative in 2018, China. Last year, we refined our programming strategy by introducing more local language films into the slate, working more closely with key ticketing platforms in China and launching our new brand campaign. I am pleased to note last year box office in China increased 16% to $337 million, our highest grossing year ever in China. More importantly, our box office momentum has continued into the early months of '19. During the recent Chinese New Year, we generated box office of $32 million, a 40% increase compared to the 2018 holiday period. We've significantly outperformed the industry, which grew just 1% over the Chinese New Year. Our performance is particularly encouraging when you consider that our 2018 Chinese New Year box office was up 75% compared to 2017. Moreover, our attendance over the holiday period increased 16% compared to an industry decline of 12%. On that note, Wandering Earth, the local language film released over Chinese New Year has become the highest grossing IMAX film in China of all time, eclipsing Avengers and Infinity War. The film has generated $45 million of IMAX box office, and IMAX screens accounted for roughly 10% of the total box office over the holiday period. It is encouraging to see the performance and indexing that we regularly experienced on Hollywood blockbusters carryover to a local Chinese film. Given the high production value that's almost tailored to experience it in IMAX, and we believe this film is a game changer for the future local production of science-fiction films, and will spur additional projects at this level. Overall, through the first two months of the year, our box office in China is already up 61% and the Hollywood blockbuster season is just getting started. Before I move on, I would like to mention that we participated in Maoyan's recent public offering and are currently in strategic discussions with Maoyan. Maoyan is the largest ticketing platform in China, accounting for roughly 60% of all movie tickets sold online in the country. This is more impressive when you consider 85% of all tickets in China sold online. Not only does Maoyan provided great touch point to the consumer, it also collects valuable data and analytics on consumer behavior and trends, which can be leveraged to more effectively market future content to consumers. In the second quarter, we are launching a CRM platform with Maoyan in China and currently discussing other strategic alliances as well. Looking forward, in addition to our strong start around Chinese New Year, we anticipate a blockbuster filled calendar for the remainder of the year. And our recent Chinese results are an important counter-balance to the seasonality in rest of the world. We will kick-off the Hollywood blockbuster season with the launch of Captain Marvel in March, which is showing very strong presales and tracking data and then of course, Avengers Endgame in April. Avengers, which is one of the most highly anticipated films of the year was entirely filmed with IMAX cameras and will leverage exclusive IMAX marketing materials. Later, IMAX screens will see the launch of key blockbusters, putting the Lion King, Toy Story 4, Spider-Man, It Chapter 2 and of course, Star Wars Episode 9, to name a few. And looking to 2020, we will see the launch of Top Gun, Wonder Woman 2 and of course, Avatar. We also believe the diversity on the upcoming slate is a positive for IMAX. There is a healthy mix of superhero titles, animated films and live-action family films. Overall this action-packed slate coupled with the initiatives we've talked about on this call, should drive increased foot traffic through our global network. One last initiative I'd like to touch on is IMAX Enhanced. As many of you know, we launched the consumer electronics licensing business, aimed at approving the quality of in-home entertainment, which includes streaming on premium television sets and sounds systems. Sony and Sound United were launch partners, and we've since put on several additional partners, starting with when we launched the initiative in April. Tencent and Fandango our now just two of the prominent partners we recently introduced to the program. IMAX Enhanced is exciting for several reasons. It leverages our existing technology and competencies, and has the potential to bring IMAX into the home on a larger scale. We will provide additional updates on this initiative as we introduce more partners into the program.  And finally, I like to welcome Megan Colligan to the team, who joins us as President of IMAX Entertainment. Megan brings extensive experience in the media and entertainment space and has deep industry relationships with studios, filmmakers, actors and streaming services. Megan has spearheaded the launch of major global blockbuster franchises, including Mission Impossible and Transformers and has most recently consulted for a number of companies, including Amazon. We are excited to have her on the team and look forward to our fresh perspective. Overall, we believe our achievements in 2018 better position us to capitalize on the exciting years ahead, starting with our optimistic outlook for 2019. We further differentiated our technology, increased the awareness of the IMAX brand and forged new relationships with exhibitors, studios, filmmakers and other strategic stakeholders around the world. I am encouraged by a strong operating and financial performance last year, and believe the developments I mentioned on this call will continue to drive more box office dollars through our network and increase the earnings power of our business. With that, I'm going to turn it over to Patrick.
Patrick McClymont: Thanks, Rich, and good afternoon, everyone. Before diving into our financial results and outlook for 2019, I'd like to discuss how we think about our recent performance and where the business is trending. There are three things that matter in assessing the quality of any business; growth, margin and return. IMAX is now producing improving results across each of these metrics.  First growth, 2018 mark an inflection point of solid growth following the period of flat performance. Box office for the year increased 6% and revenue grew 4% excluding Inhumans. We achieved this by focusing on our core business, launching our new brand campaign and refining our programming strategy. We expect these strategies to bear further fruit as we capitalize on our promise slate of films this year. While we are not providing guidance on this metric as a framework for 2019, we estimate box office growing in the mid-to-high single-digit range. Next margins, I'd like to focus on our adjusted EBITDA margin, excluding the impact of the Inhumans project, which makes comparisons difficult. Our adjusted EBITDA margin peaked in 2015 at 40.5%. For 2015 through 2017, our margins compressed as we made investments in growing our network and pursuing new businesses. 2017 and 2018 were important inflection points as we underwent the cost restructuring and refocused on our core business. Adjusted EBITDA margins expanded in 2017, and again in 2018. This year, if we were to achieve the mid -to-high single-digit box office growth, we would expect EBITDA margins to return to levels achieved in 2015. Finally returns, we like to look at returns before the impact of the minority interest for the public shareholders and the China business. This allows us to assess returns of a whole enterprise we are managing regardless of ownership structure. Our ROIC peaked in 2014. Subsequently, this metric compressed due to the growth and margin challenges previously discussed and prior investments, including in new businesses. 2018 was inflection point for our return profile as the top line grew, margins expanded and we reduced spend on new business. We will continue our discipline on capital spend and as we look to 2019, we expect to generate consolidated ROIC this year in excess of 10%. Overall, the evidence is clear that our important initiatives are working as our gross margin return metrics are all in solidly positive trend lines. We are confident these trends will continue in 2019 and our return improvement should accelerate as we continue to execute against these initiatives. Turning to our results for the year, I'd like to begin on Slide 3 of our earnings presentation. Starting with our signings activity, our sales team delivered 234 signs for the full-year, of which 122 were for new theaters. This included agreements for 12 new screens in fourth quarter and two upgrades. Overall, our signings were diverse in nature, spending key markets such as China, Japan, India, Germany, Scandinavia and France. We also installed 67 new IMAX systems in the fourth quarter. For the year, we installed 172 systems, of which 149 were for new systems. In addition to these new installations, we upgraded 23 systems to IMAX with laser. As of year-end, 37 theaters around the world now feature our new IMAX with laser experience. Turning to our financial results, which begin on Slide 4. Total revenue in the fourth quarter was $109 million, resulting in $374 million for the full-year. As a reminder, our 2017 results include the Inhumans television series, which contributed approximately $20 million of revenue in 2017. Excluding Inhumans, revenues in 2018 were up 4% compared to last year. During the year, we also generated $208 million of gross profit, which resulted in 55.5% gross margin rate, up approximately 680 basis points compared to 2017. Please note, however, that the year-on-year comparison of our gross margin is less relevant due to the negative impact of Inhumans in 2017. Excluding new business, which is a noisy, gross profit was up 5.8 million compared to last year. Moving on to operating expenses, which we define as SG&A plus R&D less-stock compensation was essentially flat to last year, in line with previous guidance. In fact, this marks the third consecutive year with flat OpEx, which is critically impressive when you consider that our commercial network has increased nearly 50% over that same period. SG&A related stock-based compensation for the year was $22.5 million. Additionally, as we disclosed in the 8-K filed back in December, we recognized exit costs and restructuring charges, primarily related to the closure of our VR business of $14.4 million. Adjusted EBITDA for the quarter came in at $36.4 million, producing adjusted EBITDA margins of 37%. This resulted in full-year 2018 adjusted EBITDA of $133.2 million and adjusted EBITDA margins of 40%. This compares to 2017 adjusted EBITDA of $126 million and adjusted EBITDA margin of 37%. These 2017 EBITDA metrics exclude the impact from Inhumans. Net income for the quarter came in at $2 million or $0.03 per share while adjusted net income, which adds back to previously discussed onetime restructuring and legal charges and stock based compensation, was 16 million or $0.26 per share. For the year, net income was $23 million or $0.36 per share while adjusted net income was $58 million or $0.91 per share. As Rich highlighted, adjusted net income per share increased 47% compared to last year. During the quarter, we also generated $18 million of free cash flow, bringing our free cash flow generation for the year to $53 million. During the fourth quarter, we repurchased 1.2 million shares totaling $25 million and then for the full-year we repurchased 3.4 million totaling $72 million. At the China level, IMAX China also repurchased and retired 2.5 million shares, totaling $6.1 million. This converts to an average repurchase price of $18.77 in Hong Kong dollars. I'd like to now provide guidance for 2019, which will be posted to the IR Web site at the conclusion of this call. Beginning with installations, between new theaters and upgrades, we anticipate installing roughly 185 to 190 systems during 2019. Of this, we expect to install roughly 140 to 145 systems in line with where we started the year in 2017 and 2018. We expect our installations for the year to follow historic patterns and to be weighted towards the back half. For the first quarter, however, we expect four less sale site installations that we had in Q1 last year. For the full year, we expect to upgrade 45 screens to laser in 2019. Between new theaters and the upgrades, we expect approximately 140 new IMAX with laser systems to be in service by year-end 2019. Moreover, our robust backlog provides solid transparency into our ability to maintain a healthy rollout of theaters in the years ahead. With regards to OpEx, we remain actively focused on cost containment and will continue to look for additional opportunities to reduce costs and drive more earnings through the P&L. With this in mind, we expect total OpEx for the year, which includes SG&A plus R&D, less stock compensations to be essentially flat compared to 2018. This would mark our fourth consecutive year of flat OpEx. On the new business side, we do not expect any material impact on the P&L in 2019. Wrapping-up the 2019 outlook, SG&A related stock based compensation is expected to be around $22.5 million for the year. We also anticipate our full-year effective tax rate to be approximately in line with last year. To close, we are very pleased with the positive momentum we have witnessed over the past year. Our accomplishments in 2018 strategically position us to capitalize on what is already looking like a strong 2019, and with robust results coming out with the Chinese New Year, we are pleased with how the year has kicked-off. With that, I'll turn the call over to the operator for Q&A.
Operator: Thank you [Operator Instructions]. We'll take our first question from Eric Handler with MKM Partners.
Eric Handler: Rich, I am wondering if you could talk a little bit about your installations this year of how much is going to be China driven, how much is the rest of the world. And as far as the pace of signings that you're seeing right now on maybe your backlog or signings that could occur in the next eight months. Where are you seeing the most -- where is it busiest, or where are the most signings occurring right now?
Rich Gelfond: So, I'll talk first about signings and then Patrick will go into the in stallion question. On the signings activity, remains very strong I'd say at the moment, consistent with the last almost several years. We have still a significant amount of activity in China going on. And from a lot of players not just concentrated in one player, the Middle East is looking very strong. And we have a lot of things going on there that I could see coming to fruition in the next couple of months. Japan is still very good where we've seen some of our highest PSAs in the world. Other Asian countries like Korea there is a lot of activity. It's pretty good. As I said, trying to think about missing anything Western Europe is still things going on. So consistent what we've seen before, but the same gestalt around it. Patrick?
Patrick McClymont: On the installations, China looks like it will be 90 to 95 theaters in 2019 and the balance for new theaters up to the 141 to 145 will be consistent with what we saw in 2018.
Eric Handler: And just in case I missed it. How much do you expect to be street sales, how much JV, how much hybrid? And then I think it was very interesting Patrick that you're looking at ROIC analysis. And just curious what you are using for your weighted average cost of capital there?
Patrick McClymont: Well, I answer the second first. On the ROIC, I don’t need any cost of capital to calculate that, it's just the straight ROIC position. In terms of how we think about deploying capital, I think we've consistently said as we look at projects, we want to see something, the theaters for example, when we think about deploying capital on JV. We've talked about that we wanted to be on a path to achieving 15% plus ROIC.
Rich Gelfond: And then in terms of the mix, we are not providing specific disclosure or guidance around how the mix will unfold for this year. We've got a combination this year between new and upgrades and we've got a mix between the different types. Generally speaking, it should be consistent with what we've seen historically. But we won't be giving a specific guidance on that.
Operator: Thank you. We'll take our next question from Alexia Quadrani with JPMorgan.
Unidentified Analyst: This is David in for Alexia. Just regarding your box office outlook for mid-to-high single-digit growth. Is there any additional color you can provide on that in terms of breakdown by region or just any guidance you can gave around the cadence as we go through the year?
Rich Gelfond: Again, we said before that predicting movies is like predicting the weather. So, I think it's very difficult to be specific as to regions or what not. But our China business, as I said, is up over 60% for the first two months and that's really before you started to open any new Hollywood blockbuster. So that's an area I think we expect to see some significant growth. I mean, Captain Marvel is opening day in day in China on March 8th, I believe it is. And the tracking and the presales, as I said, are quite strong. Avengers, on a global basis, was one of the best movies box office wise in years, and I think you'll see the same global effect on that. Lion King is some people are talking about those numbers being better even than the Avengers numbers, and again global I would say. And then you look at Spider-Man, Aladin, Dumbo, Star Wars. And one of the interesting things about Star Wars is this one actually has an ending rather than a set up for a sequel, and I think that should drive growth there. So we haven't pinpointed it by region but we've actually seen footage from a number of these movies, and we're feeling quite bullish about the box office.
Unidentified Analyst: And then can you just maybe discuss the wider significance on Wandering Earth. What is the success of this movie mean in terms of you not only how China's consumers view the IMAX experience but just also local film maker? Thanks.
Rich Gelfond: So I think when you have to look. When you take a step back, China's total box office was around $9 billion last year. So that means within that ecosystem when they model out the movies they can make, they could afford better special effects, better acting, better production values. And so that's the first thing the kinds of movies that people like to see in IMAX are really higher quality productions. The other thing is it's a new genre, so Sci-Fi hasn’t really worked in China until now. So I think when you have freedom to go into more genres and you have more money to have higher quality box office and you've take into effect the fact that IMAX is doing better, not only in tier one cities on movie like wondering but in the lower tier cities, I think it bodes very well for that market for us.
Operator: Thank you. We'll take our next question from Vasily Karasyov with Cannonball Research.
Vasily Karasyov: I wanted to ask a follow-up question on the box office expectations. If you were to point out today area where you think the most risk is concentrated. Which geography would it be and what time period, if not quarter, but would it be first half of the year, second half of the year, China, the U.S. or other international?
Rich Gelfond: There is no such thing as a risk-free movie slate. But I think the global movies there are this year and remember, Q1 was in a way the riskiest so far, because we haven't really open a blockbuster Captain Marvel is the first one. And Q2 is back to, back to back. Again, I don’t want to overstate it, because I'm not pretending to predict movies. But I don't really see a big risk across this year in the titles that we're involved with. I don't think there's much of a risk in Avengers too film with our cameras, Endgame I mean. I don’t think there's much risk in Lion King. I don’t know if you saw the recent commercials on the Oscars. But the scope and scale and the work of that is just terrific. As I said that, because it's the last in the series, I just don't see a lot of risk and where Star Wars is. I think again there is a comment which I'm going to carry out, because some movies business you always could be wrong. But I think these are the kinds of titles that play across regions. I guess the other thing I should mention is in China over the summer season there's a movie being released that was filmed in part with IMAX cameras. And what we've work out again is harder to predict in China, but the slate looks pretty good over there also. So I just not worried about much right now.
Operator: Thank you. We'll take our next question from Steven Frankel with Dougherty.
Steven Frankel: These tweaks to the China tactics clearly have paid-off. Have you learned anything from that that you could apply either to the rest of the world or to North America, or do you think these were really China specific changes?
Rich Gelfond: Well, I think there is one that we could certainly apply to the rest of world and that's more data analytics. Because of the way the platforms work in China, there is more targeted marketing that's available. And I think we intend strategically and to do that in different areas of the world. We're targeting targeted marketing efforts in more ways to identify audiences and we're definitely going to do that in the rest of world as well as China. That would be the one thing I would say. I'm also hopeful in China. One of the problems in China is that you can't start marketing a movie until it's dated. But some of them were recent movies like Captain Marvel is already dated to go day in day with us and China. So we could start the marketing efforts earlier than we could have before. Patrick has been spending a little more time than I have. Are there any other lessons you think from China that we could apply abroad?
Patrick McClymont: Well, the programming flexibility is the concept that we've used elsewhere in the world. And particularly you saw it a lot at the end of the year and beginning of the year where we had strong performance from movies that had lags, but we also reintroduced certain films with great for example with Bohemian Rhapsody in Japan. We displayed in that market for a period of time. I think the approach of being nimble in China has taught us that we can be nimble in every market. We don't always need to do it. We will need to do it when we've got these big blockbusters that Rich has went through but during certain periods having that flexibility. And now we can point to our exhibitor partners that are at work to deliver more value for them is an effective strategy.
Steven Frankel: And maybe some qualitative commentary on what the impact of the A list has been on your, or subscription programs in general on your business?
Rich Gelfond: Well, we’ve seen our indexing in North America go up for many of the blockbuster movies. And as the matter of fact for Alita, we were about 13% of the U.S. box office, which is traditionally our indexing was around 10. So throughout the last number of movies, we've seen it go up. So that will be one qualitative thing I would say. I think it brings more people into the IMAX Theater. AMC has shared with me some data and I don't know if it's public or not, and you can ask them on their conference call in a few days. But it's shown a lot more people are going to IMAX Theater as a result of the A list program. I also think overtime, because many of the exhibitors in Europe have subscription programs in slightly different forms, you will see more of these programs that I think they'll be more to our benefit.
Steven Frankel: And you traditionally have given out PSAs. I know you talked about trying to get away from that but for consistency state just to finish out 2018. Could we have what the PSAs were by region for the quarter?
Patrick McClymont: Steve, we have moved away from that for all the reasons that we've talked about. It's simply an output. It's not how we think about growing our business and it's not how we think about managing our business. We are very focused on driving as much box office as possible through the network and as much revenue. And on a go forward basis as we grow, if we are deploying capital, it's all about return on invested capital. So that's where we were focused on. So we haven't moved away from PSAs. There's data that's available in our historical model out there, but it's not something that we focused on.
Steven Frankel: And then maybe one last one. As part of the change in China, you were going to be more proactive of pushing the customer toward maybe a hybrid, maybe a sale in the particular place as opposed to the starting with JV every time. How has that mix change with this new policy? Has there been a material change in what's being installed or what's being signed?
Rich Gelfond: Yes, it has changed. I'm trying to get the data here as for the numbers, but I don't have it in my fingertips. But we definitely move more away from JVs and towards hybrids and sale deals. And it's partly because we're more discerning in that area, especially below tier 1 and tier 2 cities. But we've been successful at that and increasing the number of sales in hybrids and decrease in the JVs as a percentage of the deals we do.
Operator: Thank you. We'll take our next question from Chad Beynon with Macquarie.
Chad Beynon: First, no one has touched on the laser, so congrats on the signings and everything that's out in the market now. Can you talk about anything you are seeing from a visitation or a pricing standpoint so far? And could you just remind us what the approach is for your partners that have lasers if they've adjusted pricing, or if they are waiting to see just the initial demand there? Thanks.
Rich Gelfond: It's really too early to say. By the way I misspoke in my remarks. I said we have signed 200 deals in 18 months, it's actually eight months. So I just wanted to clarify that. But it’s really too early. The number in North America, we only had 10 open in North America and we did 35 all year. And most of those were in the fourth quarter. So I mean just it’s just too early to tell.
Chad Beynon: Is there any adjustment on the economics -- go ahead Rich… 
Rich Gelfond: Yes, there was an adjustment on the economic. On the JVs, generally we have a higher take rate when it's laser. But I mean you just can't use three weeks data or a month's data to say what a trend line is. So we will let you know over the next year or so when we see what the impact is. But especially it's film-by-film you can't tell what the attendance would have been. I can tell you our indexing is a little better. But again, it's such a small number I hesitate to attribute it to that.
Patrick McClymont: There's certainly data, exit surveys, people going through the experience is overwhelmingly positive. And exhibitor partners absolutely are very positive on it and then the actual end consumer who've experienced it. And so far the reviews are very strong.
Chad Beynon: My follow-up is around streaming platforms. Last quarter, you put a carried out there talking about what your business can do for some of the streaming platforms and we haven't heard any update there. So wondering if you still have those views, and if there is anything to announce or how we should think about that in 2019 and beyond?
Rich Gelfond: So I'm in LA the last month and Megan and I have been meeting with most of the streaming platforms, and updating in our discussions. I think a lot of them is still in the business of figuring out what their strategy is, and the ways that they see that coming. The only difference might be that Megan has somewhat of an expansive view on what we could do with the streaming platforms, which would include different forms of alternative content, not just standard showing a movie. And we've started to tee that up and we were at different degrees of positive reaction for that.
Operator: [Operator Instructions] We'll take our next question from Mike Hickey with Benchmark Company. 
Mike Hickey: Rich, Patrick, congrats guys. Great quarter, great year and definitely, a lot of success in China. Sorry if I miss this. But will you specific to key changes that you've made in the methodology of film selection. It seems like you missed it to your big films before, it seems like you are taking the right ones now. So curious if there's any difference in your approach?
Rich Gelfond: Yes, the difference is in China specifically during the holiday period, we're programming three films at a time. So even this Chinese New Year, we had three films, of which Wandering Earth was one of them. And it didn’t open as the number one movie on the first day. But the ticketing platform, Maoyan, which as I mentioned earlier, we are trying to develop a broader alliance with. The consumers rate the movie on the day it comes out. And Wandering Earth had by far the highest rating. And then the exhibitors changed over and we changed our most of our schedule in Wandering Earth, and it took off. So that was one way of going about it and changing our approach. I think another reason we got involved in China with Maoyan is we're going to try and get a little bit more data upfront testing data to help supplement the way we think about it. I think in North America and outside of China, we have such good relationships with our studio partners that those are discussions with projects years out. And I think as you know Megan just joined, I think she'll get involved and looking at that. And I think the process will be largely consistent. And then overtime, we'll see if she wants a tweak it but that's been working pretty well for us.
Mike Hickey: The last one from me is I think you had made an effort to get your cameras into the China film-making progress. Just curious how that's evolving for you?
Rich Gelfond: Well, it's gone pretty well. We're releasing our first film that’s used a fair amount of IMAX footage this summer. And we've been talking to a lot of filmmakers. Megan is going over in mid-March to meet with some people. And we're trying to increase the amount of DNA in IMAX films, so that's going pretty well for us.
Patrick McClymont: The film is called 800 that's been announced that our cameras are in that. And then there is others that have not been announced yet but we anticipate announcing sometime this year. So we are starting to make progress over there.
Operator: Thank you. That concludes the Q&A portion of the call. I like to now turn the call over to Rich Gelfond for closing remarks.
Rich Gelfond: Yes, I wanted to follow-up on my opening comments. In 2016, we noticed some trends, particularly at China and we responded with a strategy of more differentiation launching the laser product. We raised our marketing spend and raised our marketing game. I think took a little while to take hold, but a lot of that hold in '18. And as Patrick said, you saw margin expansion and revenue growth and different things. And we think when you layer that on top of the 2019 on film slate we're in a really good place. And just qualitatively, I would say I have not seen the IMAX organization as pumped as we are in '19. Overall, we feel really good about things. And thanks, operator.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.